Operator: Good day, ladies and gentlemen and thank you for standing by, and welcome to the trivago Q3 Earnings Call 2020. At this time, all participants are in a listen-only mode. [Operator Instructions] I must advise you the call is being recorded today, Tuesday, 03 of November 2020. We are pleased to be joined on the call today by Axel Hefer, trivago's CEO and Managing Director; and Matthias Tillmann, trivago's CFO and Managing Director. The following discussion, including responses to your questions, reflects management's views of the today, Tuesday, November 03, 2020, only. trivago does not undertake any obligation to update or revise this information. As always, some of the statements made on today's call are forward-looking, typically preceded by words such as we expect, we believe, we anticipate or similar statements. Please refer to the Q3 2020 operating and financial review and the Company's other filings with the SEC for information about factors, which could cause trivago's actual results to differ materially from these forward-looking statements. You will find reconciliation of non-GAAP measures to the most comparable GAAP measures discussed today in trivago's operating and financial review, which is posted on the Company's IR website at ir.trivago.com. You are encouraged to periodically visit trivago's Investor Relations site for important content. Finally, unless otherwise stated, all comparisons on this call will be against results for the comparable period of 2019. With that, let me turn the call over to Axel. Thank you.
Axel Hefer: Good morning, thank you for joining our earnings call. In Q3, we wanted achieve two things, first, to continue to progress on our recovery plan adjusting our products, value proposition and marketing. And second, to preserve our cash position. Looking back at the third quarter, we’re very happy with the results; most notably we managed to achieve a positive adjusted EBITDA and almost broke even on a cash flow basis. We released a number of new features in our core product accepted the infection of our new local travel product. We launched our new CPA model in our marketplace and continued to scale our alternative revenue streams and we improved our bidding and performance marketing and tested a new creative concept successfully. With a number of infections rising quickly in many of our call markets and partial and full lockdowns being implemented, the short term business outlook appears challenging. However, we believe that a sustainable recovery in travel is coming closer as progress and testing, vaccination and treatment are likely to show effect in 2021. We continue to focus on this point in time in a disciplined and progressing on our plans irrespective of the short term travel outlook. And with that I’ll turn it over to Matthias to cover our financial development in more detail.
Matthias Tillmann: Thank you, Axel and good morning everyone. We’re seeing a significant improvement in travel activity in the third quarter compared to the second quarter. The recovery was mainly driven by easing of lockdown measures is most countries due to lower number of COVID-19 cases and a general uptick in demand as we entered the peak summer holiday season in the Northern Hemisphere. In particular, in our segment developed Europe, the subsequential increase in qualified referrals and revenue per qualified referrals was very strong. This allowed us to selectively invest in TV advertisement in certain European markets and we were very pleased with the results. We tested a new campaign and the positive response makes us confident where we can build up on the learnings to tailor our messaging for sustainable recovery. Overall, we continued to focus on preserving our cash and therefore limited the brand marketing test to certain European countries. We were also mindful with our investment in performance marketing channels and focus on buying high quality traffic. We finalized our restructuring close to the sale of our Spanish entity and consolidated our operations in our headquarter in Dusseldorf. In addition, we reduced other selling and marketing expenses and other non-discretionary items. As a result, our operating expenses including stock price compensation decreased by 50 million or 32% in the third quarter compared to the same period in 2019. The combination of higher travel activity and our cost saving initiatives led to a net loss of €2.3 million and a positive adjusted EBITDA of €6.1 million. We are very happy with our financial results in the third quarter and progress we made in setting up the company for what we expect will still be challenging in unpredictable foreseeable future. Overall, our market continues to be volatile but there are few trends emerging since the beginning of October. In developed Europe, the rapid increase in new COVID cases since the second week of October had a negative impact on our qualified referral development. While the year-over-year growth rate has stabilized end of September it began to drop again since mid October as most countries are going into partial or full lockdowns again. Looking at our segment in the rest of the world while there are regional differences overall both qualified referrals and revenue per qualified referrals year-over-year growth rate have been stable over the last couple of weeks and hence our referrals revenue continues to be around 20% of 2019 levels. In Americas, we continue to observe a steady increase in our qualified referrals year-over-year growth rate which is mainly driven by significant improvement in Latin America while the year-over-year growth rate in the U.S. has been stable since August. Qualified referrals were around 50% of 2019 levels in October improving from 35% of 2019 levels in the third quarter. Due to the country mix effect, the revenue per qualified referrals year-over-year growth rate has started to decline slightly in October. As we have now entered our low season quarter and are faced with the second wave of COVID-19 cases in particular in Europe, we expect a negative EBITDA in the first quarter. However, we are confident that we will setup the company for this challenging environment and continue to focus on preserving our cash until travel rebounds. With that let's open line for questions. Operator we are now ready to take the first question please.
Operator: Thank you. Ladies and gentlemen we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Tom White from D.A. Davidson. Your line is now open. Please ask your question. Thank you.
Tom White: Great. Thanks guys for taking my question. Just first on the cost to acquisition product as you guys talked about I guess my presumptions would be that the net version of the CPA product, the one that is in cancellations would be more appealing to advertisers in the current environment. Is that accurate and are you getting any real traction there and I guess I am curious to like are you inclined to really push the net version of the CPA product or you not really want that kind of becoming the new normal that advertisers expect maybe once things get back to normal and then I just have a quick follow-up.
Axel Hefer: Of course. So just to be clear I mean the CPA product that we have taken live in October and now we are rolling out as a gross CPA product. So, we are taking over the risk of the booking happening, the booking conversion risk. We are not taking over the cancellations risk. And we think that it is a very, very good first step to help our advertisers in particular to deal with the uncertainty and data scarcity in the current market environment. Whether we will eventually move to a net CPA model or not is something that we will see in the next couple of weeks and months. But given that the time to travel has come down a lot. And there are very, very short travel windows. We think that the gross CPA is actually helping our advertisers very significantly and it's very-very good foundation for entering next year.
Tom White: That's helpful. Thanks. So just a quick follow-up. Do you guys have any sense as to what percentage of your business or your referrals you think might come from corporate travel and I guess, I mean there kind of unmanaged corporate travels. So the workers that's booking his own hotel rooms and getting reimbursed as oppose to kind of corporate travel spend that maybe goes through the large travel management companies?
Matthias Tillmann: Yes sure. So on corporate travel, we don't know the exact mix of our business. So we don't have perfect visibility on that. However, what we said in the past is that obviously through interaction on our website through certain behaviors, etc. we estimate what kind of travel you're coming from but in general business travel is not the largest part of our business mix. A large part is rather city trips and there we have seen obviously a negative development relative to the rest of the market in the third quarter and now that continues in the fourth quarter. Yes. Does that answer your question?
Tom White: Yes. Thank you very much. Appreciate it.
Operator: Thank you. And the next question comes from the line of Brian Fitzgerald from Wells Fargo. Your line is now open. Please ask your question.
Brian Fitzgerald: Thanks. Two questions if I could. Actually I just want to follow up on your exposure to city travel city vacations. Can you remind us how that has trended? Has it varied any over time maybe specifically with 2020 in particular and then the second question is around the rollout of sponsored listings and display ads. How would you assess the rollout? How far into the rollout are we? How's it being implemented? Is it broadly? Is it regional? Is it with respect to certain types of inventory? Is the on-boarding process around those sponsored listings and display ads accelerating? We're trying to get a better understanding of the adoption rates and the runway there. Thanks.
Matthias Tillmann: Thanks Brian. This is Matthias. I will take the first part of your question and then pass it on to Axel. So in general, what we have seen is a clear shift in the third quarter to nature destination and nearby destinations whereas usually a big part of our traffic mix at least is city destinations and to give you an idea so city trips in Germany. We use that example before yes, so there we saw a decline of more than 50% of city destinations large city trips whereas we saw that trips to nature destinations were even up year-over-year in Germany. Yes. So if you look at those categories like what we said in the past in our last update is that we believe that nature and close destinations will come back first. That's exactly what we have seen then city travel and lastly international travel and that is exactly what we are seeing right now.
Axel Hefer: On your second question, regarding the status of the rollout of sponsored listings and display I mean first of all I'd like to say that there has been huge, and there is huge interest by our advertisers in these alternative products because they serve slightly different use cases and by having a broader product offering towards our B2B advertisers we can serve their needs much better. The adoption and the interest have been very broad. So I wouldn't say that there has just been a specific segment of the market being interested in these products and some advertisers have started their tests and also permanent campaigns sooner. Others have taken a bit more time and obviously the environment is still very difficult for a lot of our partners. The certain new infections in Europe is a bit of a temporary setback I would have to say because obviously there are markets where currently none of the products is really generating significant volumes but we remain very confident that with these products we are very well prepared for a more sustainable recovery in next year and the interest remains very-very strong despite the difficult environment we are currently in. 
Brian Fitzgerald: Thank you Axel. Thanks Matthias. 
Operator: Thank you. The next question comes from the line of Naved Khan from Truist Securities. Your line is now open. Please ask your question.
Unidentified Analyst: Hi this is Robert Zeller, on for Naved. Thanks for taking the question. So two if I can. With COVID resurfacing in Europe and parts of North America how would you compare the demand you see today versus the demand you guys saw during the lows of April and March? And then, secondly, so you guys have mentioned that travelers have been traveling to more local nature destinations that they can drive to and you called out in the letter I think this new feature the local travel discover product that you guys plan on launching in 2021. So do you expect that this trend is going to continue into 2021? I guess when do you see a return to travel to bigger cities or more densely populated destinations? Thanks.
Matthias Tillmann: Thanks Robert. This is Matthias. I will take the first part of your question. So how does the current situation compares to March. So first of all we just, we have October as is in the books and October have been a mixed bag with different developments in our three segments. I broadly covered that in my prepared remarks but let me give you a few more data points here. In Europe we obviously clearly see the increase of new COVID cases in a negative development in our qualified referrals. But having said that the first week was still very similar to the last weeks of September and then only mid of October it started to decline. So it's still early and I think it's also too early to compare that to the situation in March and April given that we are now less than three weeks into that development in Europe but overall, qualified referrals are declining and clearly impacted. How exactly that will compare to April I think again will be is a bit early and will probably be, we can probably give you a better update on that in a couple of weeks. On the other hand in Americas we clearly see a positive trend in particular in Latin as I said before and most notably in Brazil. So in the last week of October qualified referrals were almost at last year's level in that country and it confirms the trend that we have seen during the summer season in Europe. When summer comes people want to travel. There might be shift in travel demand for example what we have seen in Europe and are now seeing in Brazil as well is that people choose domestic over international destinations but overall there is a pickup in demand and this makes us confident that travel will recover in the second half of next year as well.
Axel Hefer: So on your question regarding our discover product so and the outlook for next year, so you're absolutely right. We do think that that local travel will also be very-very important for next year in all of our core markets and there in particular the summer that we expect to be -- show sustainable recovery. We do think that that local travel will be much greater than what we've seen in 2019. So a similar trend to what we've seen this year. The return of city trips that our -- as Matthias said earlier are very important for us. For our core product we expect in the second half of the year and there is some opportunity that there might also be some recovery in the first half but that is more uncertain. The discover product more specifically is not focused on nature or city but it is more focused on local. So more driving distance destinations and is giving you inspiration to where you could go and we do think that is this 100% spot on and in terms of customer need for next year. It is accepted in the app and we are working on launching it on the other platforms and have a full pipeline of features that we are planning to deploy in the product over the next couple of months. So that it is ready with full features when the volume will come, will increase again next year. 
Unidentified Analyst: Okay. Understood. Thank you very much. 
Axel Hefer: Thank you.
Operator: Thank you. The next question comes from the line of James Lee from Mizuho Securities. Your line is now open. Please ask your question. 
James Lee: Great. Thanks for taking my questions. I was hoping to get maybe a little bit more specific on the geographic trends here. You guys talk about referral revenues down about 80% year-over-year for Europe. Did you have a sense what the trend is like for qualified referrals and for the U.S. specifically you commented that qualified referrals down 50% year-over-year in October. What is the referral revenue trend looks like? Thanks.
Matthias Tillmann: So thanks James. So I mean, I gave some data point, on the U.S. I think there is nothing specific to add here as I said in my prepared remarks qualified referrals year-over-year growth rate in the U.S. has been stable since August. And above all the broader trends they have not changed. So we still see a shift towards domestic travel and fewer city trips. So that's on the U.S. If we look at rest of the world there are regional differences in center East and Europe. For example the development is very similar to our developed Europe segment qualified referrals are declining fast with the increase in new COVID cases. in Southeast Asia qualified referrals year-over-year growth rates are also declining but not as fast. And then on the other hand our biggest market in the segment namely Australia, Japan and in particular India, we see a greater recovery offsetting the effect in the other regions in that segment. So overall the year-over-year revenue growth rate is stable compared to what we have seen in Q3. Yes. That is all I can say more specifically to the regions.
James Lee: And Matthias I have a follow-up question here and we talk about recovery normalization in first half of 21 are you referring to revenues or are you referring to growth of referrals? 
Matthias Tillmann: Growth of referrals. So basically when we talk about normalization and travel we mean the underlying demand and that would translate into our qualified referrals and then if you look at our revenue obviously you have on top the monetization component that is you have to look at that separately.
James Lee: Okay. Great. Thanks so much. 
Matthias Tillmann: No problem. Thank you. 
Operator: Thank you. Next question comes from the line of Shyam Patil from Susquehanna. Your line is now open. Please ask your question. 
Unidentified Analyst: Hey guys, it's Ryan on for Shyam. Just two quick ones. First can you talk about what's giving you confidence that travel demand should recover sustainably in the second half of next year? Is that kind of contingent on a vaccine? And then secondly, Google is under some DOJ scrutiny. So do you think that could maybe help you if they decide to kind of ease off on funneling traffic into their own travel product? Thanks.
Axel Hefer: Sure. So on the beginning of sustainable recovery next year I mean, what makes us confident there I think the first thing that is giving us confidence that is, what we've seen already in summer in the northern hemisphere in summer and now in the southern hemisphere that there is a fundamental need of traveling and that our travelers do want to travel. So that needs we see to persist and also see the same trend for or expect the same trend for next summer. So a strong nature demand in the peak season. For the second half of the year and the segment that is very important to us the city travel we do think that a combination of faster and cheaper testing where you see a lot of development happening right now the availability of a vaccine at least to high-risk areas and improvements in terms of treatment will give overall a better perception of control which doesn't mean that the pandemic will be over. But, we believe that there will be a positive impact um on the autumn season next year and that will lead to some recovery of city trips. And why is that for us overall positive I mean city trips obviously are very important to us and we are agnostic to the destination. So as long as travelers are feeling comfortable to travel somewhere we do have the right product to offer and we don't need anybody to on board a plane neither domestically nor continentally nor inter-continentally. And so that's why we do think that in terms of recovery we should benefit slightly sooner than other travel companies. On your second question regarding the investigation into Google's practices. I mean, it's not only happening in the U.S., it's happening in quite a few countries that there is an increasing skepticism that some of the mega platforms and they are most notably Google are our in showing fair competition overall and the segments that they are participating in. With any kind of regulatory action, I mean they the one thing that they have in common is that they take some time but our read of the overall situation is that there is now broad consensus that something is not right. And that ultimately at some point-in-time will have an effect on their competitive environment. Next question, please?
Operator: Thank you. The next question comes from the line of Lloyd Walmsley from Deutsche Bank. Your line is now open, please ask your question.
Lloyd Walmsley: Thanks. I had two questions. First, when Tri Ag [ph] was then public, they reported two segments, search and advertising, and their advertising what's over half of total revenue. So, can you maybe talk through the puts and takes of how your sponsored lifting in display ads comparing contrast to what they've done? And give us a sense to where you think this can scale to as a percent of maybe 2019 revenue. And then second one, a little more out there but have you looked at price comparison and other segments beyond travel, I mean we just saw good are rest to the public in the U.S. doing prescription drug price comparison -  And they're doing $500 million in revenue, 30% growth, 35% EBITDA margin. Curious if you've ever explored leveraging your strong user raise in brand and moving to other categories that maybe kind of less competitive and have more attractive attributes.
Axel Hefer: Yes, sure. Thanks for the questions, Lloyd. The first question on the business opportunity for our sponsored lifting and our display products. So, I think you are spot on. I mean, there is significant opportunity to increase revenues there and of course we also looked at competitors and realized that we were pretty much the only player that was just depending on CPC revenue and the coproduct. Whether we can reach the levels of Tri Ag has reached at the time of their IPO, I am not 100% sure given that their business mix is much more skew towards flight versus us obviously an accommodation. And as far as I understand, the search revenues are stronger on the accommodation side. So, I would expect our share to lack what you've seen at Tri Ag. But we do believe that they are a significant opportunity. I'm not sure that right now is the right time to try to quantify the exact share given that there are so much volatility in the market. But at some point-in-time next year I would hope that we have a better view in what the overall perspective is and potential is. But yes, we are very bullish on the additional products and that's also what we've heard as a feedback from our advertisers.
Matthias Tillmann: Yes. And hi Lloyd, this is Matthias on your second question. I mean, that’s a very interesting thought. I mean, obviously we have built our brand equity around travel for many years and have invested a lot into that. And as a result of that we do believe that we have a strong global travel brand. And so, if you were to go into completely different fields, that that would be a bigger shift for sure. And I'm not sure that the timing right now is perfect for that. Overall, we have a very lean setup. We are focused teams and we are very excited about our opportunity in travel. And with all that, we have a full product pipeline and the team knows exactly where to work on and what to do and that has been one of our key strengths in the past and how we made it that far that we were always very focused. And everyone coming here to work every day knows exactly where we are and where we want to be. And I think that's also key effort. So, never say never and again I think it's a very interesting thought. But right now, I believe we should continue on exploring all our opportunities that we do have with our strong product teams and with our strong global travel brand.
Lloyd Walmsley: Okay, thank you.
Matthias Tillmann: Thanks.
Operator: Thank you. The next question comes from the line of Doug Anmuth from JP Morgan. Your line is now open, please ask your question.
Doug Anmuth: Great, thanks for taking the questions. Axel, I was just hoping you could give us some more thoughts on the brand campaign that you did in some European markets and just curious how your messaging and then mix of marketing could potentially change as things hopefully recover more next year. And then, also can you just give us an update on your progress with alternative accommodation and how you're thinking about the path there going forward. Thanks.
Matthias Tillmann: Right, thank you. I would take the first question on the brand component, then Axel will talk a little bit about your second question. So, given the production lead time that you usually have, we had to decide in April already what kind of creative we would want to add during the peak summer season this year. And if you remember how the situation was back then, our revenue was close to zero in April. There was a global lockdown and nobody knew how Q3 would turn out. And with that in mind, we decided to produce much softer TV campaign in terms of messaging. And that turned out to be a very good decision. We got very positive results and got some variable learnings all of this that we can now apply for our new campaigns. I won't be more specific than that but the key takeaway is that we have by now tested a few different concepts and not only in Q3 this year but we already started end of last year to test different formats and different campaigns to diversify away from our Mr. trivago campaign. And there we also got interesting learnings. And this has been now the next step and in to another direction and was very valuable what we have. And I think by now we have a pretty good understanding of what is working for us. And that will give us the flexibility to tail of that towards a new campaign in next year to whatever the market environment will be.
Axel Hefer: On your second question, alternative accommodation. I think you're absolutely right. We are very happy that we started to really focus and invest significantly in alternative accommodation, end of '17. So, for this summer business our apartment coverage was very important and it was very important to really have all the inventory available. Given that a lot of the -- the top nature destinations were frankly speaking just fully booked out and here do you need it to have all the inventory that was available to show availabilities to your users and customers? And for next summer we expect to similar dynamic. With the market overall recovering we think that the significant increase in share that is going through to apartments were normalized to a certain extent but we continue to believe that even with a recovering market, apartments will be a key part of our overall value proposition and a key differentiator for us.
Doug Anmuth: Great, thank you both.
Axel Hefer: Thank you.
Operator: Thank you. And we have one more question in the line. [Operator Instructions] And the next question comes from the line of Kevin Kopelman from Cowen. Your line is now open, please ask your question.
Kevin Kopelman: Hi, thanks so much. On marketing trends, so in the third quarter you were able to reduce your marketing expense, year-over-year significantly more than your revenue decline. Can you give us an update on those dynamics heading into Q4? If that any change there with what's going on in Europe. Thanks.
Matthias Tillmann: Sure, thank you Kevin. And yes, I think that's a very good observation. So, if you look at Q3 as percentages of revenue or our advertising spend was around 50%. So, compared to what we've done historically that has a very low number. And that was predominantly the case because we only tested in Europe or invested in TV and in our segment develop Europe. As we didn’t see the same opportunities in other segments and we're more cautious. And again as I mentioned before, our key focus during the third quarter was to preserve our cash. And on the other end, in Europe we did see decent pickups. So, also wanted to invest into that. That's on the brands marketing side. On the performance marketing side, we also saw when we saw a pickup in demand, we also went back in and invested more. But also more cautious than what we have done previously and I mean we've talked about it before. Already pre-COVID we started a test in our performance strength, that's why we increased our return on advertising spend target to really see what the incrementality of that channel is for us. And now when we went back in, we kind of had this similar approach and we're running high ROI targets than what we had before. And then obviously we benefitted also from the fact that overall competition in those options still is lower than compared to pre-COVID. So, if you look at the fourth quarter and what it means for investments in the fourth quarter. Historically it's been a low quarter for us in terms of brand spend anyways. As we approach holiday season, TV advertisement becomes more expensive at the same time and demand for our product drops. So, we usually cut pick. If you look at the situation, Europe right now and if you look at the data points that I gave, you see that on a global level in Q4, it's fair to assume that we don’t expect to have a higher ratio of revenue in the fourth quarter as a share of 2019 levels than what we had in the third quarter. So, if you take that as a starting point and then look at the 50% we had in the third quarter in terms of advertising spend of revenue. You can assume that this will be not higher in the fourth quarter. That gives you a good idea of how we're approaching our marketing activities in the fourth quarter. Does that make sense?
Kevin Kopelman: Yes, thanks Matthias. This is very helpful.
Matthias Tillmann: Great, thank you Kevin.
Operator: Thank you. There are no further questions at this time. Please continue. Thank you.
Matthias Tillmann: Yes. Many thanks for taking the time to participate in our Q3 earnings call. Irrespective of the very challenging situation we are facing in many markets. We continue to see the crisis has an opportunity. An opportunity to face our travelers and advertisers with better products. An opportunity to become more relevant and grow our market share. This is what is driving us forward. No matter how long the winter will last. Many thanks for your time, stay safe and see you next quarter.